Operator: Greetings, and welcome to the VistaGen Therapeutics First Quarter 2022 Results Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions]. As a reminder, this conference is being recorded today, Thursday, August 12, 2021. I would now like to turn the conference over to Mr. Mark Flather, Vice President of Investor Relations. Please go ahead, sir.
Mark Flather: Thank you, Daenerys [ph]. Hello, and welcome to the VistaGen’s conference call covering its fiscal year 2022 first quarter financial results and corporate update. I am Mark Flather, Vice President of Investor Relations at VistaGen. Thank you for joining us today for this business update and welcome to our shareholders, analysts and anyone taking an interest in VistaGen. Joining me today are Shawn Singh, our Chief Executive Officer; Jerry Dotson, our Chief Financial Officer; and Dr. Mark Smith, our Chief Medical Officer. The format for this call consists of prepared remarks from management, followed by an opportunity for questions. This call is being webcast and will be available for replay. The link can be found in the Investors IR Calendar section of our website vistagen.com. On today’s call, we will make forward-looking statements regarding our business based on our current expectations and current information. The forward-looking statements speak only as of today and except as required by law, we do not assume any duty to update in the future any forward-looking statement made today. Of course, forward-looking statements involve risks and uncertainties and our actual results could differ materially from those anticipated by any forward-looking statements that we make today. Additional information concerning risks and factors that could affect our business and financial results is included in our most recent quarterly report on Form 10-Q filed earlier today with the Securities and Exchange Commission and in the future filings that we make with the SEC from time to time. All of which are at or will be available on the SEC’s website. Now, with the formalities out of the way, I’d like to turn the call over to our Chief Executive Officer, Shawn Singh.
Shawn Singh: Thank you, Mark. Good afternoon, everyone. On behalf of our entire team here at VistaGen, I thank you for joining our call today. And with the recent surge in the pandemic from the Delta variant, we certainly hope you and yours are healthy and doing very well. As I've mentioned many times before, at our core, we're change makers, a team at VistaGen that's committed to improving the mental health of individuals around the world, with new medicines that go beyond the inadequate current standard of care for anxiety and depression disorders. During the first quarter of fiscal 2022, we maintain that steadfast commitments to our core mission, and continued the strong momentum that we generated through throughout fiscal 2021 across all aspects of our business. Even before the pandemic, anxiety and depression disorders represented a large and growing unmet medical need both in the US and across the globe. Unfortunately, while the prevalence of these conditions has grown substantially during the pandemic, meaningful expansion of differentiated FDA approved treatment alternatives has not yet occurred. Now arguably more than ever before, those suffering from anxiety and depression disorders need new and differentiated treatment alternatives. Against the backdrop of the substantial progress, we made throughout fiscal 2021, and now through the first quarter of this fiscal year, we are confident and excited about the potential of our CNS pipeline to make meaningful changes in the lives of those impacted by mental illness related to anxiety and depression. Our most significant milestones during the quarter was the initiation of our PALISADE Phase 3 Program led by PALISADE-1, our US Phase 3 multicenter, randomized, double blind, placebo controlled clinical study, to evaluate the efficacy, safety and tolerability of PH94B for the acute treatment of anxiety in adults with social anxiety disorder or SAD. According to the US National Institute of Health, SAD is the third most common psychiatric condition after the depression and substance abuse. The Phase 3 trials a key step in our efforts to confirm the positive efficacy and safety results that we've seen in Phase 2 development of PH94B as a differentiated rapid onset, acute treatment in SAD. PH94B is designed to be an acute as needed treatment of anxiety for adults with SAD, treating their anxiety in the context of a triggering, or anxiety provoking situation or event similar to how a rescue inhaler is used to prevent the onset of an asthma attack. At a time when we are seeing a continuing increase in the number of Americans suffering from SAD now over 23 million Americans, and a current drug treatment paradigm that falls short of delivering necessary relief without worrisome consequences, and innovated, differentiated, fast acting, acute treatment alternatives imperative. If successfully developed, PH94B has the potential to be the first fast acting non-systemic, non-sedating acute treatment of anxiety for the millions of Americans and others around the world, who suffer from the debilitating effects of SAD and several other anxiety disorders. During the quarter, we advanced significantly on our plan to initiate by calendar year end several additional clinical studies in our PALISADE Phase 3 Program to enable the eventual submission of a PH94B new drug application to the FDA, should the program be successful. Notably, PALISADE -2 which will be a replicate of PALISADE-1 expected to be initiated before the end of this year. We also made significant progress with the FDA to enable the initiation of our exploratory Phase 2a clinical program for PH94B, program that will include activity and at least for additional anxiety indications, the first of which will be adjustment disorder with anxiety. With the study may proceed notice from the FDA now in hand, we are on track to start the Phase 2a study and adjustment disorder with anxiety as planned before the end of calendar 2021. We also completed certain additional non-clinical studies of PH10 our depression candidate that we believe are necessary to advance our Phase 2b development plan for PH10 as a potential standalone rapid onset, non-systemic treatment of major depressive disorder. Finally, we also advanced in our plan for clinical development of AV-101 in combination with probenecid. We are on track with our plans to initiate the Phase 1b drug, drug interaction study that combination by calendar year end. We believe our current cash position is sufficient to advance our CNS pipeline through a very exciting stream of potential clinical and regulatory milestones, this potential to be – value adding catalysts for the company. Another important milestone for VistaGen during the quarter was our recent inclusion in the Russell 2000 Index, which as many of you knows one of the most cited performance benchmarks for small cap companies. This milestone is notable as a notable example of how far we've advanced our companies, especially during the past 15 months, since our consensus building meeting with the FDA in mid 2020. We believe we are only in the beginning stages of what has exciting potential to be a remarkable growth curve for all of our stakeholders. Included in the Russell 2000 Index has increased – already increased awareness of our company within the investment community. And we expect this really continue in the years ahead. We certainly welcome the larger audience, we continue to execute on additional noteworthy milestones during the second half of this year, and well beyond. VistaGen is dedicated to creating change the mental health landscape, and to help accomplish this we continue to strengthen our team with individuals that not only possess that knowledge and experience, but who also share our passion for social change and align with our company values. We believe that in the search to create medicines for a diverse global population with unmet needs, we must seek out and listen to the opinions of diverse individuals. Recently VistaGen announced the appointment of two new female members to our board of directors, Mary Rotunno and Margaret FitzPatrick to combine with prior appointments of Ann Cunningham and Dr. Joanne Curley brings VistaGen board to a female led majority, a significant advancement and worthy distinction in board representation within the public biopharma space and beyond. Ms. Rotunno brings extensive healthcare experience -- expertise to VistaGen Board as both the leader and the strategist. She began her career serving patients as a registered nurse and transitioned to serving clients in healthcare law allowing her to pursue both her commitment to helping others in advancing the future of mental health and wellness. Ms. FitzPatrick has a strong background in developing and executing multiple high impact customer focused marketing communications initiatives for some of the world's largest most successful companies including Johnson & Johnson and Cigna. Both of these announcements highlight the importance of bringing broader perspectives and experiences to our boardroom. And we hope to enact meaningful change helping to set the stage for more public and private companies across all sectors to continue to diversified board membership. I would now like our CFO, Jerry Dotson to provide a summary of some of the highlights from our fiscal year 2022, first quarter financial results, Jerry?
Jerry Dotson: Thank you, Shawn. As Shawn d, I'll highlight a few items from the first quarter of our fiscal year 2022 financial results. I would also encourage everyone to review our quarterly report on Form 10 Q, which was filed with the SEC earlier this afternoon for additional details and disclosures. VistaGen recognize $0.4 million in sublicense revenue pursuant to its PH94B development and commercialization agreement with EverInsight therapeutics, which is now AffaMed therapeutics, during the first quarter of fiscal year 2022, which ended on June 30, 2021, compared to none in the first quarter of fiscal year 2021, ending on June 30, 2020. Our research and development expenses increased from $1.7 million to $5.6 million for the quarters ended June 30, 2020 and 2021, respectively. This increase is primarily due to expenses related to the commencement of our PH94B PALISADE phase 3 program, Notably, the initiation of the PALISADE-1 phase three clinical trial, but also including expenses for the preparation for and execution of other clinical and non-clinical development, outsource manufacturing and regulatory activities for both PH94B and PH10, which in aggregate accounted for increased spent expenses of approximately $2.7 million during the fiscal 2022 first quarter. Salaries and benefits expense for the quarter ended June 30, 2021. increased by approximately $1 million versus the comparable prior year quarter, primarily due to the hiring of additional senior management and other personnel focused on clinical operations, outsourced manufacturing activities and regulatory affairs. General and administrative expenses increased to approximately $2.5 million from approximately $1.4 million in the first quarter ended June 30, 2021 and 2020, respectively. The increase was primarily due to the hiring of additional senior management and other administrative personnel. Our net loss for the first quarter of fiscal 2022 ended on June 30th, 2021, was approximately $7.7 million versus a net loss of $3.1 million for the comparable period of fiscal year 2021. At June 30, 2021, the company had cash and cash equivalents of approximately $97.8 million. I would also note that from July 1, 2021 through today, the company has received approximately $900,000 in cash proceeds from the exercise of outstanding warrants. Again, please refer to our quarterly report on form 10-Q filed earlier today with the SEC for additional details and disclosures. I'll now turn the call back to Shawn.
Shawn Singh: Thanks, Jerry. Our patient focus and investor focus priorities have guided through these – have guided us through these challenging times and have led our company to what we believe is the strongest position in our history. Our journey to this point would not have been possible nor will our future success be possible without the commitment and patient endurance of the entire VistaGen team, our collaborators and our stockholders. With relentless effort to focus on creating life changing value for patients and our shareholders all of us at VistaGen are grateful for the privilege and the opportunity to make difference to improve the lives of those battling mental health challenges all over the planet.
Mark Flather: Thank you, Shawn. This concludes our prepared remarks. Nadesh, [ph] we'd like to now open up the call for questions.
Operator: [Operator Instructions] Our first question is coming from the line of Andrew Tsai with Jefferies. Please go ahead.
Andrew Tsai: Okay, great. Thanks. And good afternoon. appreciate you taking my questions. First one is on the Palisade. Glad to hear it's on track and so forth. For that study, are you by chance -- are you taking a look at the overall safety efficacy data, as well as discontinuation rates for example, on a blinded basis? And if so, would it be fair to assume that no news is good news, at least on the safety front? Because if you had seen an SAE for example, in one of your patients, you have shared it to the street? 
Shawn Singh: Most importantly, share that with FDA same to Andrew. Mark, anything else you want to add on that?
Mark Smith: Yeah, I think it's safe to say yes, and I agree, no news is good news. Yeah, we're on track. We're following it closely. But yeah, so far, so good.
Andrew Tsai: Fantastic. Thank you for confirming. And then, separately for the adjustment disorder study that's starting up by year end. Can you just give us a little bit more framework or context? Maybe what common drugs or treatments are used for adjustment disorder, if at all? And if there are any existing treatments, what are their limitations? And then maybe a corollary to that is how are you thinking about the study design? How long in duration? Are using the same doses as you are? In SAD trial, how many arms? What are the geographies so far? Thank you.
Mark Smith: Yes, sure. Sure. Let me address that. Happy to address that. So, we're kind of paving new ground here. In the US, especially there really haven't been any placebo controlled trials, to speak of against known agents, because nothing -- nothing has been approved for this disorder. So what do people take? They often take benzodiazepines, which, just adjustment disorder, should be somewhat self limited disorder. And yet, as you know, people start on benzodiazepines and they're on for years, because of the dependence issues. So, nothing's been approved, very little has been studied. Now, we thought our drug would be ideal for this. And because of its risk benefit ratio, that -- because it has a very good safety margin, we believe it would be appropriate for this disease, which you can kind of conceive of as PTSD light. As far as the study design, it's a one month of duration, placebo versus our drug, PHA for be at 3.2 micrograms. But different from what we're doing in social anxiety disorder, we're giving our drug four times a day. And that's as much as we feel comfortable prescribing it to people, because that's what was we did in the preclinical tox studies. So people are taking it four times a day. And this study will do a number of things. One, it's our first look see into disorder beyond the anxiety disorder, beyond social anxiety disorder. Two, we're given it on a fixed regimen, four times a day versus as needed basis in SAD. We don't know, if it will treat this disorder or not. But because we believe the mechanism of action should be relevant to many anxiety disorders, we'll at least get a first read on whether that it's possible to go beyond PRN treatment in social anxiety disorder. So, again, this is a -- really an exploratory trial. And but, I think it could reveal quite a bit of information for to go into a larger study that just been disorder and beyond social anxiety disorder.
Andrew Tsai: Thanks. On -- that’s right.
Shawn Singh: [Indiscernible] Andrew. Did the primary endpoint in the study is change from baseline in anxiety measured by him at the end of the four weeks of treatment.
Andrew Tsai: Okay, great. And it's just basically the idea is exploratory trial, just looking for a signal, you find a signal and that's good, a green light. Okay. And then, my last question is on -- you mentioned a, I think preclinical studies -- tox studies but actually I had -- my last question is just on the peripheral studies. You're running on Carbon 14 fMRI imaging studies. Can we expect to share those results to the street over the coming months? I'm assuming those will be completed later this year. But I could be totally wrong. What are those timelines and so forth? Thanks.
Mark Smith: The Carbon 14, yes, will be completed this fall, we’ll certainly share those results. I think you're going to find them interesting. The fMRI will probably start this fall, but we won't -- the study won't read out until, I think second half of next year. It's going to take a little while to run that study. But yes, we will certainly share them when we get the results.
Andrew Tsai: Thanks. Very good. Very helpful.
Shawn Singh: Thanks, Andrew.
Operator: [Operator Instructions] Our next question is going from the line of Tim Lugo with William Blair. Please go ahead.
Unidentified Analyst: Hi, guys, this is John [ph] on for Tim. Thanks so much for taking our questions. So just to start, just wondering your thoughts about how enrollment and PALISADE may be impacted with this latest COVID-19 wave? So, typically around the study being a laboratory study requiring in-person visits?
Jerry Dotson: Yeah, sure. So, obviously, we're monitoring this. So far, it has not been an issue. We've been running this summer throughout the country, and the enrollment is going well. And as expected, we haven't -- I have not heard of patients turning this down, because of fears of coming into the clinic. So our sites are up and running and they're following their own individual protocols.  But no, we haven't slowed down on account of this. And so unless something gets much, much worse, I think we're still on track here.
Unidentified Analyst: All right. Great to hear. And maybe as a follow-up, how you maybe are thinking about and managing any impact PALISADE, due to -- just overall rising anxiety, given pretty anxious time that we all stand right now?
Jerry Dotson: Is that addressed to me, or to Shawn or…
Unidentified Analyst: Whoever wants to…
Shawn Singh: John, can you restate it? I'm not fully clear on what you're asking.
Unidentified Analyst: Sure. So just given that overall anxiety is rising right now in the US, maybe another COVID-19 wave, how you're thinking about that, how that might impact the study?
Shawn Singh: Okay. Well, you know, all of us in the industry are facing similar concerns. And fortunately, we've got 18 months or so of activity at the various sites across all different sectors that have got SOPs in place to protect the staff, to protect subjects. So fortunately, implementing those as Mark said, it seem to do what needs to be done. Of course, the needs continued to rise, as you said, and I think that's all the more reason why we hope, we can continue with the execution efficiency that we've seen so far.
Jerry Dotson: Yeah, I would echo that. Obviously, things -- there is a lot more anxiety. And it -- unfortunately it’s continuing to rise. And I actually, from what I'm hearing is that the sites, the clinical sites are busier than ever. And I think that probably because people recognize that we do deal in medicines in both suppression and anxiety. And so things are quite busy now, and I actually expect them to continue to be so throughout the rest of this pandemic. So, yes, busy times because we need these new medicines.
Unidentified Analyst: Great, thanks so much for the updates and congrats on the progress.
Shawn Singh: Thank you.
Operator: [Operator Instructions] And we do have a follow-up question coming from the line of Andrew Tsai with Jefferies. Please go ahead.
Andrew Tsai: Hey, thank you. I wanted to ask on page 10, as well, I mean, you're it sounds like you've finished non-clinical studies, I guess what did the data look like, what were they? And then because it sounds like you're initiating the Phase 2 in mid-2022. So can you remind us what the gating steps are until you can initiate the study? Thanks.
Shawn Singh: Yeah, we haven't announced the results of those studies yet, Andrew. The goal for us is to get all the regulatory package together submitted before the year end, if not the year end right around the corner into 2022. And to initiate that Phase 2B study in the first half of 2022. So as early as we can, but fortunately, we have -- as with 94B, it's a very safe drug. Everything we've seen so far to date, so we just have to make sure we get the US regulatory package in order to be able to put us in a position to launch. But we expect to be about 150 subjects Phase 2B study with PH10 weighted as a potential standalone treatment for major depressive disorder. So very excited about it. It's similar in many respects is similar in the -- to that of 94B, at least in terms of acting on the peripheral neurons, and then through the olfactory bulb neuron, as we've talked about, and we're excited to get from early reads, to see whether we do have what we expect, which is rapid onset activity for a drug that's got a remarkably different safety profile than what we've seen today is with other antidepressants. We'll keep you posted on the progress, but so far, it's all moving in the right direction to be able to green light the effort in the first part of 2022.
Andrew Tsai: Got it. Thanks again.
Mark Flather: That's -- that's all the time we have for questions today. If you have any additional questions, please contact us at IR@vistagen.com. Or call any of the phone numbers listed on the bottom of our press release today. Thank you for tuning in, and we appreciate everyone's attention and support. We look forward to keeping you current on our continuing progress. This concludes our call. You may all disconnect now and have a great day.